Operator: Please stand-by. Good day, everyone. I would like to welcome all of you to the Waitr Holdings Inc. First Quarter 2021 Conference Call. With us today are Waitr's Chief Executive Officer, Carl Grimstad; and Chief Financial Officer, Leo Bogdanov. By now you should have access to our earnings press release, if not, it may be found at sec.gov or on our Investor Relations website at investors.waitrapp.com. Before I turn the call over to management, I would like to remind you that certain statements and projections in this call about our future business and financial results constitute forward-looking statements. These statements are based on management’s current business and market expectations. And our actual results could differ materially from those projected in the forward-looking statements. Please see the risk factors contained in our Annual Report on Form 10-K and in our Form 10-Qs for a discussion of risks that may cause our actual results to vary from these forward-looking statements. Finally please note that on today’s call, management may refer to non-GAAP financial measures. Please refer to Waitr's first quarter 2021 earnings release for a full reconciliation of its non-GAAP financial measure to the most comparable GAAP financial measure. I would like to turn the call over to Waitr’s CEO, Carl Grimstad, who will give an overview of the company’s business activities and developments for the first quarter of 2021. He will then turn the call over to Leo Bogdanov, who will provide an overview of the company’s operating and financial results. We will then open the call for Q&A. Carl?
Carl Grimstad: Thank you. Hello, everyone, and thank you for joining our call today. We are pleased to announce our financial results for the first quarter of 2021. As we continue to build on our success from 2020 and generate positive operating cash flow. In the first quarter we are excited to have closed the delivery due to acquisition, strengthening our market position in Southern Florida and solidifying our commitment to pursue additional opportunistic strategic acquisitions. Over the last several months, we partnered with many of the country's top delivery management and optimization platforms, which provide improved operational efficiencies that benefit both restaurants and customers. Along with these platform integrations, we have partnered with a multitude of national brands, including PDQ, Applebee's, Marco's Pizza, Jason's Deli, Red Robin in various delivery only virtual restaurant concepts to our platforms, which have broadly expanded the restaurant selection for our diners. This focused and methodical sales approach resulted in a surpassing a total of 23,000 partner restaurants on the platform. While adverse weather related events affected many of our markets for several weeks during the first quarter of 2021, we are pleased to report a 9% increase in average daily order volumes this quarter compared to the fourth quarter of 2020. Our results continued to reflect the hard work of our entire team through the execution of fundamental operational and strategic initiatives. Our ongoing recruiting and retention efforts continue to increase the total number of active independent contractor drivers on the platforms, which are at an all time high for the company. Overall, we had a great quarter and are excited about the company's future. Now I'll turn it over to Leo, our Chief Financial Officer for a recap of first quarter results.
Leo Bogdanov: Thank you, Carl. I'd like to now review our first quarter 2021 financial results. Revenue on a pro forma basis, including the full quarterly results of delivery dates was $53.4 million in the first quarter of 2021. Comparing to pro forma revenue of $46.5 million in the first quarter of 2020 an increase $6.9 million or 15%. Net loss for the first quarter of 2021 $3.7 million, which includes $5.1 million of items we considered to be one-time non-recurring compared to a loss of $2.1 million in the first quarter of 2020. Adjusted net income for the first quarter of 2021 was $1.4 million compared to a loss of $2.1 million first quarter of 2020 an increase of $3.5 million. Adjusted EBITDA for the first quarter of 2021 was $8.3 million, compared to $3.7 million in the first quarter of 2020, an increase of $4.6 million or 121%. Loss per share, including [attributable] one-time and non-recurring items for both the first quarter of 2021 and 2020 was $0.03. Adjusted earnings per diluted share for the first quarter of 2021 was $0.01 compared to an adjusted loss per diluted share $0.03 for the first quarter of 2020. In the first quarter of 2021, we made a prepayment of $15 million on our term-loan along with a cash payment of $10.9 million for the acquisition of deliveries resulting in cash on hand of $67.9 million as of March 31, 2021. Total outstanding long-term debt as of March 31, 2021 was $84.5 million, consisting primarily of our $35 million term-loans and $49.5 million convertible notes. That concludes the recap or first quarter financial results. We will now go into a short Q&A session.
Operator: Thank you, sir. [Operator Instructions] And we'll pause for just one moment to allow everyone an opportunity to signal. And we'll take our first question from Kunal Madhukar with Deutsche Bank.
Kunal Madhukar: Hi, thanks for taking the question. One housekeeping is the GFS wanted to understand what that was. And second, as you look into 2Q and as you look at like you know potential for like markets opening up and markets in various markets might already be open. But as you look at like more vaccinations, more opening up and recovery kind of [shouldn’t] be happening. How do you see the order trends and consumer behavior in your markers kind of [indiscernible]?
Carl Grimstad: Well, it's good question. And it's timely, because you… we generally have a comparison of the larger players, right, that operate in big metropolitan cities that have been locked down quite a bit for the last year. As you know, in most of our southern markets, these markets have virtually remained open. And it's a different dynamic. I think that these second and third tier markets are generally populated with working class people that have been under some level of financial hardship. Also, as you know, we focus on independent restaurants, independent restaurants have not had the easiest time out during the COVID time. And as a result, as we go into this year, I think our comparisons will be less taxing than the big national companies. I think Q2 is probably the trickiest because that's where we saw the most stimulus comes into the market last year. But ultimately, our business seems a lot more consistent and steady then having these big blips from last year's lockdown, period.
Kunal Madhukar: Okay. And what was the GFS for this quarter?
Carl Grimstad: We already have the gross food sale number --
Leo Bogdanov: Yes, it’s $150.3 million.
Kunal Madhukar: $150.3 million okay, great. And then I've been -- Carl you mentioned, it's like working class people that lived there primarily in these markets. As you look at the issue with like most companies have in terms of like difficulty in hiring workers and what have you. Have you have you seen that kind of going of happen in those markets. It's like these guys they're like just too many jobs available for them?
Carl Grimstad: Well, I -- it's an interesting social commentary, right? I think that, I hear it from restaurants, we definitely have tried to stay ahead of the curve on the driver side. But when you're paying people more money than they typically make to go to work they don't want to work. That being said, and I think it probably affected our EBITDA margin for the quarter, because we wanted to stay in front of the subsidies coming out. And we were a bit more probably aggressive with incentives for drivers. That it affected our margin slightly there temporarily, but I think it's a nationwide issue. That if you're incenting behavior that's not consistent with working. I mean, I think it tightens the labor market up.
Kunal Madhukar: No, it totally does. But no insight into what's happening in your markets, there things haven't picked up?
Carl Grimstad: As far as what, that it's important to hire employees?
Kunal Madhukar: Yes, no, I mean, the thing is, if growth over the past year was kind of maybe muted, because it's more working class people, and they were maybe harder hit and now we are getting into a situation where jobs are aplenty and like people are not like -- not going for those jobs not applying for those jobs then they know, they must be making more money than they would be with the jobs.
Carl Grimstad: Right. So you were in -- we're in agreement, but where we would see the greatest impact would be in lack of driver supply, right. So I do hear it from restaurant partners in what have you that they're having more difficulty hiring servers or dishwashers and stuff like that. But as it affects kind of operationally our business my greatest fear all the time is, if I don't have enough drivers, I have a problem. So we try to stay in front of that dynamic and it throws another dynamic into it when you having the government paying out subsidies. So that's where it would affect us. But ultimately, as we mentioned in the release, we have the highest number of active drivers in the company's history in this past quarter. So whatever we did, we were able to weather that storm.
Kunal Madhukar: Oh, that's great. And then one last one, the average order value increased like 14%, year-over-year. And it's close to like $44. What's driving that?
Carl Grimstad: Yes. Well, it's probably a collection of a number of things. But again, we're independent restaurant. Focused right and those tickets are typically higher than QSR. And a lot of this amazing top line growth that the national businesses are seeing is driven by the QSR traffic, which hasn't been a focus of our company for a couple of reasons. But one of the things you see us talking about POS integrations, system integrator integrations, the company just didn't use that as a priority in the past. And as a result, even though they had a handful of national brands, they were handicapped in signing these brands because of the integrations. So I think, to answer your first question, it's the independent restaurant focus that drives that higher order value. And then secondarily, as time goes on. I think a lot of our comparisons and cohort data and what have you is going to be helped by a lot more national brands being on the platform because it'll be selection for our diners. And it'll continue to drive some level of top line growth there.
Kunal Madhukar: Totally. And one last one, sorry, I apologize for taking so much time, but one last one on the on the partnership that you just did with the payments provider where you can deliver -- potentially deliver [indiscernible] in states where you can legally deliver it. So how is that kind of progressing? And what kind of milestones should we be thinking of, as you kind of develop and explore that business opportunity?
Carl Grimstad: Yes, hard to say, to give guidance on milestones, of course, where we are right now is we're going through all the regulatory requirements and starting to build out a compliance solution for dispensaries to provide this end-to-end service, right. And that's going to take some time. We think it's a massive opportunity. And in both the payments and the delivery side of it. Too early for me to give you guidance on the economics. But as we've shown and you've heard me say, we're -- we build profitable businesses, right. So I expect the economics to be as good if not better than our core business.
Kunal Madhukar: Great. Thank you so much.
Operator: Thank you, sir. Next, we'll hear from Alex Fuhrman of Craig-Hallum.
Alex Fuhrman: Thanks very much for taking my question. I wanted to ask about the acquisition of Delivery Dude, can you talk about what makes this a good fit for Waitr? And then as you look forward to the next couple of quarters and years is there going to be any heavy lifting in terms of integrating that into your business? Or is that pretty much a plug and play anything you can share with us about -- how that's going to impact your results would be helpful?
Carl Grimstad: Yes, sure, thanks. We're super excited about this edition. I've said in the past, we're going to look at strategic acquisitions as part of our growth strategy. And there's hundreds of the smaller operators out there that may bring us a contiguous market, like Delivery Dude did, they may bring more order flow? They may have -- in an interesting niche in certain types of foods. Delivery Dude has a little bit more upscale restaurant selection. I wouldn't say it's just like a caviar, but it's that tier of restaurants. They have a great team, very entrepreneurial. They did -- they've done a great job with their marketing and their messaging. And from an integration perspective, it's not a heavy lift. It's a bolt-on from that perspective. And they're growing a lot faster than our core business. And they're doing that profitably with positive EBITDA. So it kind of checked all the boxes, really good management team. Great marketing, great brand, great restaurant selection. It add to our presence in the State of Florida. It's, it's pretty good stuff.
Alex Fuhrman: That's terrific. Thanks, Carl. And then I also just wanted to ask quickly about some of the investments you are making in cannabis delivery. I know there's a lot of work to be done there and it's early. But when do you think we might start to see some of that really coming to through [vision]? And can you just talk a little bit about the investment that you're making in that space?
Carl Grimstad: Yes, so just like Kunal asked. It's too early for me to give you a timeframe. We think that the opportunity in the cannabis industry and providing a solution that both encompasses payments, as well as last mile delivery is going to be mission critical. We -- there's a lot of work to be done both on the regulatory compliance as well as putting together the pieces of the puzzle for that solution. I mean, there's different requirements state-to-state on everything from the vehicles to the employees to the drivers. I mean it's tricky and that's why I like it, right, because ultimately, we're very early on this. And a lot of companies that are out there profess to be doing a lot of different things that they're really just not even doing yet. And the most difficult part of it, right is the driver logistics and being able to do that profitably, which we've obviously shown that we can do that. So more to come on that, too excited.
Alex Fuhrman: That's great. Thanks very much.
Operator: [Operator Instructions] We'll pause for just one moment. It appears there are no further questions at this time. Mr. Grimstad I’ll turn the conference back over to you for any additional or closing remarks.
Carl Grimstad: Thank you, and thank you to all. Thanks for your continued support. Have a nice evening.
Operator: That does conclude today's conference. We do thank you for your participation. You may now disconnect.